Operator: Good day, and welcome to the MicroVision Third Quarter 2020 Financial and Operating Results Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Lindsey Stibbard. Please go ahead.
Lindsey Stibbard: Thank you. Good afternoon and welcome everyone to MicroVision's third quarter 2020 financial and operating results conference call. Joining me on today's call are Sumit Sharma, Chief Executive Officer; and Steve Holt, Chief Financial Officer. The information in today's conference call includes forward-looking statements, including statements regarding exploration of strategic alternatives, sale of our product verticals or technology; sale or merger of the Company; potential value of the Company; managing costs; completing a strategic transaction; maximizing shareholder value; expected customer orders; future royalties; progress under and benefits of existing contracts and license agreements and the negotiation of future agreements; product availability and product sales; advantages of our technology; intellectual property; business execution; projections of future operations and financial results; availability of funds; product development applications and benefits; availability and supply of products and key components; commercialization of our technology; market size, market opportunities and future demand; as well as statements containing words like opportunity, potential, possibly, intend, confident, targeting, estimate, believe, goals, objectives, focus, paths, expects, plans, will, could, would, likely, resulting, and other similar expressions. These statements are not guarantees of future performance. Actual results could differ materially from the future results implied or expressed in the forward looking statements. We encourage you to review our various SEC filings, including our Annual Report on Form 10-K filed on March 12, 2020, Form 10-Q filed on August 6, 2020, as well as various other SEC filings made from time to time in which we discuss risk factors associated with investing in MicroVision. These risk factors could cause results to differ from those implied or expressed in our forward looking statements. All forward-looking statements are made as of the date of this call, and except as required by law, we undertake no obligation to update this information. The financial numbers presented on the call today are included in our press release and in the 8-K filed today. Both are available from the Investor Relations section of our website. This conference call will also be available for audio replay in the Investor Relations section of MicroVision's website at www.microvision.com. And now I'd like to turn the call over to Sumit Sharma. Sumit?
Sumit Sharma: Thank you, Lindsey. Good afternoon everyone. It has certainly been a busy time for us all and I am glad to be here. I hope and wish everyone listening is staying safe through the pandemic and multiple resurgent waves that communities are experiencing. I want to thank all our employees who are working incredibly hard and continuing to deliver to key development milestones for our first generation MEMS scanning long range LiDAR. MicroVision is focused on finding strategic alternatives that provide the right value for our shareholders. Today we have 41 talented people focused and working hard towards accomplishing this goal which could include a sale of the Company in a transaction that would recognizes both the short and the long-term value of our technology. We continue to explore all options while maintaining strict control of our expenses. With the support of our shareholders and continued dedication and health of our employees we are prepared for the work ahead. I would like to start by sincerely thanking all of our shareholders for your support in approving the authorization of 60 million additional shares of common stock at our special shareholder meeting a few weeks ago. Approximately 115 million shares voted in this special election, with greater than 95% of these votes in favor of the Company proposal to increase the number of shares. I believe your strong support removes ambiguity about our capability to explore and complete any strategic alternative including a sale of the Company. I firmly believe the additional share availability will help provide the operational flexibility to continue to pursue a strategic transaction that reflects the impact our verticals would have on these market segments. The COVID-19 Pandemic continues its grip on our lives. Global markets are experiencing macroeconomic pressures which by some estimates could run well into 2021. I believe this has created an environment for consolidation of technology companies. We also believe the importance and expected future scaling in augmented reality and automotive LiDAR will continue. We believe that we have a solid IP and technology portfolio in both verticals which represents value for our shareholders. Let me be more specific about this point. MicroVision has a long track record of delivering advanced products in augmented reality with our Laser Beam Scanning or LBS technology. Our full intellectual property body of work has been invested in and created by MicroVision over a long period. Our IP includes in-house developed custom MEMS, custom optics, proprietary digital and analog silicon chips, embedded real-time firmware and software, manufacturing processes, custom automation and strategic partnerships that allow us to operate in a fabless model. MicroVision modules function as the micro-display engine which is a key enabling technology required for augmented reality headsets. OEM controlled pupil expanding waveguides, coupled with our micro-display engines, are required to create the wide field of view, high definition, and see through user experience required in the augmented reality segment. We have been focused on miniaturizing and optimizing all aspects of our LBS technology and hardware. OEM de-coupling of the waveguide development from our MEMS micro-display engine, affected MicroVision’s ability to invest in any specific waveguide platform. However, I believe that we still have the most advanced and competitive technology with our micro-display engine for the augmented reality headset market. We believe the process of exploring strategic alternatives has allowed potentially interested companies the benefit of reviewing our technology and allowing us to showcase current and future possibilities. I believe we have the IP, talent and partnerships in place to develop the next generation, custom, high volume display engine to meet OEM requirements. With respect to our IP, MicroVision has granted very few limited licenses for use of our technology in LBS products. We believe our approach of having very few limited licenses for use of our technology coupled with the depth of our IP and state of technology development represents a strong value proposition in a potential acquisition or other strategic alternative. We believe this approach provides an opportunity for future cost avoidance by an acquiring party, faster time to market for potential high unit volumes and supports their multi-generational products roadmaps. To elaborate a bit on our strategic advantage in this vertical, I would characterize all inquiries we have received in this vertical as looking at multi-generation product roadmaps our technology could support and are not limited to a single product. We have worked very hard to show interested parties the expanse of what could be possible with our technology. I am happy and proud to say that we showcased our technology as potentially being able to deliver multiple products that would be significantly more advanced than what these parties required or expected. I believe that we are in an excellent position to realize value from our technology as OEM AR products come to market. With the positive outcome of our October 8th special shareholder meeting, we look forward to continuing our exploration of strategic alternatives with parties that are potentially interested in the augmented reality vertical. Our objective remains to establish the appropriate value for this vertical which reflects the continued expected growth in AR market using LBS technology. The second area I would like to update you on is our automotive LiDAR vertical. Let me first start with some context on expected market size, importance of MicroVision automotive LiDAR technology and the substantial strategic advantage we believe we would provide to an interested party. Companies adopting automotive LiDAR sensors are trying to address a market which includes traditional OEMs focused on active safety systems and new companies focused on Mobility as a Service. OEMs are preparing to transform their future business with fleets including a larger portion of fully electric vehicles that offer enhanced safety features as well as expanding safety features in their traditional fleet. This is analogous to the introduction of airbags which eventually arrived in every car, with the help of regulation, by showing the benefits to safety. There is also a new emerging segment being driven by privately held AI software technology companies focused on autonomous driving to deliver Mobility as a Service. Using autonomous vehicles, Mobility as a Service companies are endeavoring to change ride sharing, long-haul transportation, and last mile delivery services and their impact on consumer and business to business transactions. Both these market segments will need a suite of sensors ranging from LiDAR, radar, camera modules and ultra-sonic sensors to achieve these goals. According to industry reports, the automotive sensor market is expected to grow from $8.7 billion in 2020 to $22.4 billion in 2025. Within these numbers automotive LiDAR by itself, is expected to grow at 113% compound annual growth rate going from a projected $400 million in revenue in 2020 to $1.7 billion in 2025. This revenue in 2025 would represent only 2.3% of all vehicle classes sold globally and according to some industry reports is expected to reach approximately 10.3% by 2032. Some industry projections estimate that up to 5 LiDAR sensors would be required per vehicle to achieve expected safety standards. We believe automotive LiDAR is an important market opportunity for our technology. Another important validation of this opportunity appears as we start to see stand-alone LiDAR companies go public through Special Purpose Acquisition Company deals. These LiDAR companies have invested in development and are expanding with large talented teams as stated in their public filings. These new companies are addressing multiple market segments with revenues greater than $100 million annually with expectation of significant growth in the future. They have also publicly stated that they expect to invest in developing their technology for years to come at high levels of expenses in their foreseeable futures. Even with the high required investment ahead and associated risks, these new LiDAR companies are valued at market capitalization in the multiple billion-dollar range. We believe MicroVision is well positioned to impact this segment with our automotive LiDAR technology and IP. Current LiDAR sensors in the market have limitations in meeting specifications required by targeted OEM and Mobility companies. These companies expect LiDAR sensors to deliver 200 meter detection range, low angular resolution which requires high density point cloud, wide fields of view, capable of operating in full sunlight, small size that can blend into car styling, meet automotive reliability for 15 year of operational lifetime, provide velocity data of objects within the field of view and be price competitive at scale. Most sensors on the market today are primarily mechanical scanners with a small handful using other techniques. The cost structure, size and performance of the products on the market do not meet current or future trajectory of requirements. MicroVision expects to be able to offer a solid-state LiDAR sensor that is based on highly scalable silicon wafer processing and our LBS technologies. Throughout our history we have demonstrated the miniaturization, reliability and scalability of our LBS technology. Our team is working to complete sensor hardware capable of meeting all required OEM and Mobility company specifications. This product represents our 1st generation MEMS scanning long-range LiDAR. We believe this hardware could allow automotive OEMs, Tier 1 and pure play LiDAR companies to secure high volume OEM business as well as provide direct sale opportunities to Mobility, Industrial and Topography market segments. I believe the work to complete our long range LiDAR hardware, represents significant value to our shareholders. As many of you know, MicroVision has invested in R&D and product development in LiDAR technologies since as far back as 2011. I believe that our automotive LiDAR sensor implemented with our LBS technology will have a sustainable strategic advantage with features, performance, price and reliability for several generations. We have been developing our 1st generation MEMS scanning long range LiDAR product for a 2021 introduction prior to the changes to our strategy in 2020. Our long range LiDAR sensor is expected to have a 200 meter detection range of 10% reflectance objects, dense point cloud output, new proprietary scanning technology that allows operation in full sunlight, and be first in market with outputting velocity data in a scanned MEMS LiDAR using a 905 nm laser in Class 1 safe systems. We believe this would be a groundbreaking product. Our first sensor is expected to be slightly larger than a VHS cassette in size and with future implementation of our custom silicon, this size would reduce significantly. I expect that hardware for demonstration and benchmarking could be available in the April 2021 timeframe. I also expect that a version of this 1st generation LiDAR sensor could be available for sale in Q3 2021. I believe this dual opportunity for both long-term and short-term revenue from the 1st generation product would represent significant value to parties interested in strategic alternatives. In closing, we believe the market is starting to plan for growth in both AR and automotive LiDAR segments. Our LBS technology could potentially provide a sustainable strategic advantage to an acquiring party and allow that acquirer to potentially avoid significant future expenses and product development risk. Our team remains committed to maximizing value for our shareholders. We remain focused on pursuing strategic alternatives and working through the process while maintaining our required expenses appropriate for such effort. I would like to thank our dedicated employees on effectiveness in their work and our shareholders for their continued support. With that I would like to turn over the call to our Steve.
Steve Holt: Thank you, Sumit. Good afternoon, everyone. For the third quarter, revenue was $639 thousand, with $539 thousand of royalty revenue and $100 thousand in product revenue. All of the third quarter royalty revenue was attributable to our April 2017 customer. The product revenue is related to projection engines we made for RagenTek back in 2017. In the third quarter, MicroVision and our distributor concluded legal action with RagenTek. As a result of the settlement we were able to recognize an additional $100,000 of revenue. In comparison, in the second quarter we recognized $587 thousand of revenue, with $572 in royalty revenue. Third quarter cost of revenue was zero. The resulting gross profit was $639 thousand. In comparison, second quarter gross profit was $588 thousand, which included a warranty credit of $1,000. The royalties associated with the April 2017 customer that are due to MicroVision will be credited against the prepayment made by the customer. When the prepayment is exhausted, the April 2017 customer will begin making cash payments for royalties due. At the end of Q3, the balance of the prepayment stood at $8.2 million. This $8.2 million is on the balance sheet as a contract liability. ASC 606, the applicable revenue standard, requires that companies estimate and disclose the timing of when those liabilities are expected to be recognized. This information will be found in the revenue recognition footnote in our Form 10-Q which we will be filing shortly. Our current estimate is that approximately $400 thousand of the $8.2 million will be recognized in Q4, for a total of about $1.7 million being recognized in 2020. Operating expenses were $3.5 million in the third quarter, in line with the $3.0 to $3.5 million range we provided on our last call. In comparison, operating expenses were $2.9 million in the prior quarter. The increase of about $500 thousand is mostly due to non-cash compensation and engineering materials to produce our automotive LiDAR proofs of concept and prototypes. The non-cash compensation is related to an employee retention program we put in place to help retain employees while the company explores strategic alternatives. This retention program was for employees and excluded section 16 officers. Our headcount at the end of September was 35, comprised of 25 in Engineering and 10 in SG&A. For the third quarter, our net loss was $2.8 million or 2 cents per share. This compares to a net loss of $2.3 million or $0.02 per share in the prior quarter. For the third quarter, cash used in operations was $3.5 million, which compares to cash used in the prior quarter of $3 million. In the fourth quarter I expect our cash used in operations and capital equipment purchases to increase. We are procuring components, tools and equipment necessary to build automotive LiDAR hardware that we are targeting to be ready in the April timeframe. Additionally, we paid $625,000 invoice in Q4 related to parts we shipped earlier this year in Q1. There was a dispute with the supplier that had delayed the payment. Additionally, you may recall that during the second quarter we secured $1.6 million of funding under the Payroll Protection Plan. We expect a portion of the $1.6 million loan will be forgiven based on the rules of the PPP program. Our estimates show that we expect about $690,000 to be forgiven, and that we will need to repay about $900,000 thousand. The monthly payment to repay the unforgiven portion of the loan should be around $50,000 per month beginning in Q4. As it is possible that the rules of the PPP program could change, the amount to be forgiven could also change. All these items give us an expected Q4 cash usage in operations plus capital expenditures of around $5 million, plus or minus $300,000. The timing of much of this will be late in the quarter, and it is possible some will fall into Q1, but I want to let you know we do expect an increase in Q4. We are trying to keep expenses down and minimizing negative cash flow, but as Sumit said, we believe completing our LiDAR hardware development is important because it could drive a significant increase in valuation for the Company. The value increase comes from the elimination of development risk and that a potential acquirer would be acquiring a product ready for shipment in the second half of 2021. We ended the third quarter with total cash and cash equivalents of $5 million. Thus far in the fourth quarter we raised $5.8 million dollars from our Lincoln Park Capital facility. Our goal is to maintain a sufficient cash position to give potential acquirers confidence that we have the necessary capital and resources to have a successful transaction, and balance that against dilution that would come with raising cash through the sale of stock. Adding the $5.8 million to the $5 million we had at September 30th, we believe we have sufficient cash to fund operations through the first quarter of 2021. There currently remains about $200,000 available to the company on the Lincoln Park facility. Finally, I’d like to turn our attention to intellectual property and licensing. We’ve had some investor questions about licenses for our technology. At this time we are party to three licenses for our technology. Our April 2017 customer has a limited license to produce specific components for use in a specific product. Second, in May 2018 we granted a 5-year limited license to a technology company to produce display-only products that incorporate our components. That license does not include the right to use our technology in augmented reality or near-eye micro-display engine products. Third, in 2016 we granted a royalty bearing, limited license to a Taiwanese manufacturer to make scan beam display products. We have received immaterial royalties under this license agreement. As we have not received nor expect to receive material royalties from this licensee, we do not expect to extend this license beyond its current expiration date in 2022. With that we will now open the call to questions.
Operator: [Operator Instructions] Our first question today will come from Glenn Mattson with Ladenburg Thalmann. Please go ahead.
Glenn Mattson: So first just Steve around the topic of cash burn and stuff. So just the elevated CapEx and just generally speaking, the elevated use of cash that you expect in Q4. Is that - I understand there is a lot of moving parts with the potential acquisition and things like that. But assuming that you continue to pursue the path you're on currently, is that expected to continue to be elevated in Q1? Can you give any color as to if it's kind of one time in nature, or if it's recurring?
Steve Holt: Yes, I think it's not - I expect it to be a bit lower in Q1. But like you said, there is movement from it's a lot of this timing to this stuff is right at year-end. So it's going to be tough to pick which quarters, but I don't expect it to be going up at an increasing rate.
Glenn Mattson: And then Sumit, thank you for the color especially on the automotive LiDAR. There is obviously some public companies now in that space. And so we have a little more understanding of like, where the market is valuing some products in that space. So I guess if - you mentioned that as well, I guess I would just be curious as to how you think your product said, once it's available, will match up with the things that are out there already. And then, given the opportunity is so large, given you're so close to fruition of years and years of development? I guess like the question would be like, how do you balance the fact that if you sell the company in the medium term, you're giving up maybe on a lot of the upside potential that could be out there given how these other companies are valued based versus their current revenue streams?
Sumit Sharma: Yes, I think that's a good point to bring up. There is hopefully LiDAR companies out there, and they give a great benchmark of what may have been possible. So I think if you think about our path as a product, the conversation in verticals not becomes important in the automotive space versus our other verticals. The same body of work allows us to develop a product. And as I described, and I want it to be somewhat more open about it in the call today. It's the size of VHS cassette, compared to the things that you see outside in other companies that are public or non-public, those are easily things that folks can get their data points on. So significantly starting to look like what a sensor that goes into the automotive space looks like and behaves like. And if there was another opportunity for LiDAR to find a home that could be a big growth opportunity. Automotive is a great one, obviously. So what's exciting about that space in general, and then I'll get back to like what about us, you think about the rolling out of a product like that is not like fire. And that's what I wanted to make sure people understand, except the size of the market is so large, 90 million vehicles sold a year. So it kind of boggles your mind, right? Even though it's slowing, you're talking about big numbers. And that requires a different level of scaling. Of course, I think in MicroVision was - had the opportunity to get partnerships together and launch a product and generate revenue. Obviously, our enterprise value will be significantly better obviously. I mean that's goes without saying. But one word focusing on strategic alternatives, and that's why I want to be very clear in our call today. This represents a value for a potential interested party. There is obviously long-term gain of the market that I just described. Also the potential of having a product that could be some short-term revenue generate. So what MicroVision, ourselves have been able to be successful there? Of course, you know, I believe that, I think it'd be silly for me not to believe that. But I think where we are, we have to be realistic about being strategic alternatives, having offered it to the market, everybody's reviewing it a certain way, then you really have to put it on the table and look at what the right value for our shareholders and that's the real emphasis I want to put into today’s call. The theme is, there is value, and there is right value. And it should be clear. We understand what the right value we think, is how the company and we tend to drive towards it. That answer your question Glenn.
Glenn Mattson: Yes, no, that's helpful. Just I mean, I guess the scope of coming to market may be bigger than MicroVision is currently capable of is what you're basically trying to say. So that's fair and valid. On the consumer LiDAR products that you guys have kind of shopped around the past at NBC, There has been obviously Apple incorporating some consumer LiDAR scanner into their products. So is that sparked a higher level of interest, generally speaking in that market or anything on that front?
Sumit Sharma: In general, on the consumer LiDAR, the interest is I would just say neutral as before. One distinction I would like to do make is the product that Apple has talked about, those are flash based LiDAR based on a different technology, different price point. Our consumer LiDAR based on does something different that that flash-based LiDAR may not have been able to do as well. So the different things right, it would not have gone into a handset anyway, but it had a bigger opportunity. You know, IoT products are a pretty big. Maybe perhaps not as big as handsets or tablets, but still a significant market.
Glenn Mattson: Okay. And then last, I'll pass the call over to someone else, but just - could you characterize how you feel? You know, in the past, you said, there are multiple - shopped you looked around and talked to 100 different companies, there are multiple interested parties, is it? Could you just characterize over the last 90 days? How the - would you say you're in the same place you were 90 days ago, you're narrowed down the list, you're closer with a few guys, you're further away than you thought you would be, any just general color. I know you can't. You don't like giving specifics about the deal flow, but just get…
Sumit Sharma: In general I would say it's the same list. You know, pretty level. As you can imagine our October 8th special proxy vote, there is ebb and flow to things that happen, right. But in general, it's the same list.
Operator: Our next question will come from Kevin Dede with H.C. Wainwright. Please go ahead.
Kevin Dede: I was wondering Sumit, I mean, your shareholders have, I think to your point made it clear that they support your endeavors. Right with that October 8th proxy vote, and affording you an opportunity to issue more stock and continue. And you're making it explicitly clear, there is no doubt about it, you're making it explicitly clear that you're going to continue the strategic direction that you set earlier this year. But I guess what I'm wondering is whether or not that might be something you'd reconsider, given where you see your shareholders hearts.
Sumit Sharma: I think that's a great question. Right? I think it's a - is there any other plan or anything you're working on. Our focus on strategic alternatives, we got to see it through. It's the - you know, it's what we established was the next plateau from where somebody would want to have inflection point and the kind of capitalization that would require moving forward. You know, it would be somebody else. Do I believe that MicroVision by itself could actually be one of those standalone LiDAR companies for example, or a leader when AR is very big in headset market? Absolutely, of course, I do. Absolutely. No doubt in my mind. And as far as the talent, we've always had the talent, we continue to attract talent. It's a markets that are finally catching up. And so that's exciting. So yes, but right now, I think it was just generally me, right. And I think what I like to say is like, if you focus on something to be successful to hyper focus, you can't be blind to the other options. But again, that's what brings the concept of valuation into it today without giving any kind of broad answer on that. It has to be the right valuation, if the technology can have that kind of impact in the short and the long-term, it is in our shareholders’ best interest for us to make sure that we establish what impact that would be, and if something is in the future, right, but we have to see through what is in front of us, which is we have put the company up and, people that are looking at the company, they would be - they need to have certainty as well that we are committed towards the process. So we are committed to the process. That's the message, but at the right valuation. So really, I'm hoping that everybody does get the message that it's not just, we do understand what the value of this stuff is, and probably more than a lot of the shareholders probably give us credit for. We do understand it, and we do understand the inflection points how they actually come about and technology. They're not imagination, you know, take time. But we also are committed to the process, as we said, and again, 41 people today monitoring our expenses. I think the great question that was asked before about capital tooling is just what is required to demonstrate in a bigger opportunity for potentially somebody else to take that revenue back. And it's the right valuations there I mean, whatever is in the best interest of shareholders, of course the Board would get to decide on that. It’s a fair, fair answer Kevin?
Kevin Dede: Well.
Sumit Sharma: I know you’re looking forward but I just to…
Kevin Dede: No I appreciate, I've always appreciated not just you certainly, Steve and even your predecessors, being open minded to the opportunities, given how unique your technology is, and the opportunities that can afford your partners. And I know your shareholders see that too. Clearly, there is passionate. It's just a, there's no right answer right, you will have to, you know, you'll have to I guess, make the best decisions that you see, come before you? It just seems to me, and this sort of leads into my next question for you Sumit. I'm curious to know, if you've developed maybe a new engine for that close to I projection in - what you consider the AR. Because you - I think you dedicated much of your prepared remarks to that. And I can't recall that you've done that in the previous couple of quarters? So I'm wondering if obviously you spoke to this a little bit, right R&D expenses, increase over 20% sequentially? You're making some investments in auto LiDAR, I'm just wondering if those investments are paralleled in your AR development?
Sumit Sharma: In AR development, believe it or not we were ahead. So in the AR to make that piece a hardware, of course takes a significant amount of investment like anything R&D company has to do. But what I try to highlight in the prepared remarks it takes another partner that owns the waveguide. So Kevin, let's say you had a company that is a waveguide? How do I know to partner with you, unless I know somebody else would be adopting new technology. And that would have to be still an OEM. So since these two things are separated, right, MicroVision was I know slight disadvantage of like, you can invest in all the different technologies that are out there to put them together. But the micro display part of it, certainly we have already innovated. So as I describe, I am very proud of what our team did, and what we presented, that was quite a surprise to folks that, things that we could do for them were beyond the fields of view and beyond the image quality that they actually originally anticipated. In our discussion, so I think our confidence in AR delivering on AR of course, is high because we have such a long history with it and pretty high confidence that we can, have that completed. Automotive LiDAR on the other hand, it's a different thing, different - the version of our technology I'll say the best way to describe it. Things that you do in consumer in automotive are slightly different. It's actually showcasing another dimension to what LBS would beam the same core stuff you can actually enable another larger market. And it does not look and feel like exactly a consumer and just slap on some duct tape and bubblegum and send it off. It is something, something unique, and actually showcases some of the things that we certainly could do also in the AR. Those four things that we're developing in automotive LiDAR but unless we have, a partner here it's hard to participate in that, not knowing what the waveguide would be and how you would fall in. So I think I am not, I'm pretty confident that our position in AR is ahead of what people in the market even anticipate anything there that people will talk about. But it's again, for an acquiring company, this was the best thing because they have multi generational path now. So our investment - the investments, we're making in automotive LiDAR is because that's the one place you know again market is ripe for consolidation as I said earlier on. There's interest there, they're standalone companies, there's references, therefore it makes sense to have that one vertical, also show and show something in piece of hardware that allows people to evaluate, different dimensions of our company or different verticals, of course.
Kevin Dede: Right. So - I guess the takeaway is and please help me if I'm wrong on this Sumit, the takeaway is that it's - there is a little less operating room in AR just because you'd have to forge partnerships across multiple bridges, right? One, to secure the proper waveguide technology and that I guess that refers to the OEM decoupling that you spoke to versus?
Sumit Sharma: Right, I thought - go ahead, go ahead.
Kevin Dede: Yes, so versus auto where I mean, maybe it's a little easier to right you could work directly with, a Tier 1 OEM auto supplier.
Sumit Sharma: That's correct. So, automotive operates a little differently. I think we have already mentioned this early on in 2019, we had contact directly with top tier OEM. So in this case, they're more active because the Tier ones will come in, but the technology is not coming from Tier ones. They're either doing partnerships or they're making investments, they’re acquiring, but effectively, a lot of the path that we're on right now, it's not just imagine. It is specifically, some OEM input directionally of what the market needs. And these are, as I said top tier OEMs. So I think it does not - the risks that you think about in this case, we own everything to deliver a piece of hardware. There is nothing we coupled to our data stream goes into computing platform. Those things that, they know our specification, they know what target specification that we want. We're on a good path there. In the case of AR yes that decoupling, as I said it's all in the slight disadvantage. We can certainly go off and work with a waveguide partner, what's the probability that that waveguide partner does or does not get picked by any specific OEM out in the world? Right and so these kind of things will actually, create inefficiencies if you start developing technologies to demonstrate, but yet you cannot show a path to partnerships.
Kevin Dede: Or commercialization?
Sumit Sharma: But I think if the partnership was there, I think we have, we feel pretty confident that our path to demonstrating the technology is not years out, it would be - it would be relatively quick.
Kevin Dede: Well, if I'm not wrong on this, you've developed products or at least been a key component in products that have recently prototype. And that would suggest that you've worked with, intermediate or partner suppliers in developing, the full solution. So, if you were to take a step back and look at the I guess, the cross section of opportunities, how many say waveguide companies do you think could help you get to, a full-fledged commercial ready AR product? And how - I mean honestly, how difficult would it be to explore those options?
Sumit Sharma: It's actually not difficult at all - I'm not saying this, just to be - to mute that, honestly, we have our Board member that's very experienced in that, right. And I've known him for a long time, I think, we know lots of people in the industry. We know what waveguide are - the ones that you want to go with that would give the experience that people are looking for. Certainly, some top tier OEMs I think previously, not this year, but I think it was last year or the year before. Made some acquisitions of waveguide, specifically technology wise right, so, I think like. I think we have a pretty good idea of which ones you would want to go after, and you would have a high probability. But making an investment like that, especially in AR which is still think about the volumes, there's the volume, but there's not the volume, do you think about consumer, as other consumer devices have yet. Till that comes in, it's kind of difficult to make the kind of investment because you may not see that returns in a meaningful timeframe. Again, for a tech company with our revenue where it is, you know one would argue hey that would be better than where you are, yes. But the investment to get to that point and the risk associated with an OEM not adopting that, waveguide technologies is challenging. But the amount of companies in the world is not 100. I would say there's like 10 companies that can do it. And they're at different levels of scale themselves also. So to pick a partner that not only has technology, but they can also scale the technology that you expect the OEM to adopt, because we will get the microdisplay done. That's the thing right we're so far ahead and I’ll talk about the LiDAR lines a little bit. But we can get that display done, but if that waveguide doesn't get adopted then we're still. We have to have some level of confidence that OEM is entertaining that and of course we can develop or augment our module for any waveguide technology.
Kevin Dede: Okay, yes thanks Sumit for the color. I appreciate it. Can we switch gears a little bit and go back to the auto side? Steve mentioned that you've got 25 engineers, 10 in general and admin. I'm wondering if you think that the headcount you need to get through to I guess, closer to commercialization that you suggest, could be the second half of next year?
Steve Holt: The headcount that I gave was as of September 30. Sumit mentioned in his remarks that I think we're at 41 today. And all those increases are in the engineering ranks. So, we still have a little bit of hiring to do. We don't have a specific number of target right now to give you a bit. We're at 41 today.
Kevin Dede: Okay, all right.
Sumit Sharma: But obviously, the next step - and Kevin is not commercialization. The next step is having a product ready, because there have been opportunity for somebody else in our current strategy 2020 strategy that we're working on.
Kevin Dede: Right, so did I misunderstand your earlier comments then, apologies that I had thought that you felt that the second half next year was a reasonable target for someone to potentially take that product commercial?
Sumit Sharma: No I think what I'm saying is, I guess we'll have reliability. We'll have things that are required for that market to address its ready. So that's the opportunity for someone who see the product in April timeframe, and March/April timeframe, but let's just say in April with the supply chains, where they are right now. And effectively, the commercialization the ramp part of it, it’s easier to validate than the technology by itself. So once technology is validated, having a clarity that does not take years after that to commercialize for any interested party - we expect that that has value.
Kevin Dede: Okay. Thank you, gentlemen for entertaining my questions. I really appreciate the opportunity to discuss them with you.
Sumit Sharma: Thank you so much, good talking to you again.
Operator: At this time, I would like to turn the conference back over to Steve Holt.
Steve Holt: Thank you. We received over 60 questions from investors. Many of the questions are variations on the same topic. And most of the questions were addressed in our prepared remarks. We try to consolidate the questions on the same topic to address the basic issue. We won't be able to answer every question submitted today. But we will go through them here. First one is there are several questions regarding headcount and recent job postings. And why are you adding resources? I'll take the answer to that one it's really very simple. We're hiring to support the goal of completing the LiDAR development in that April timeframe that Sumit mentioned. We want to complete that development as soon as possible and have that hardware, available for evaluation. We have a very talented team at MicroVision. And we've been fortunate we've had low turnover, and we do appreciate the dedication and the hard work of all of our employees. The next question is comment on other companies laser beam scanning products and how those products relate to MicroVision intellectual property? I'll take that one again. We don't comment on specific IP questions or issues. Nor do we comment on other company's products or technology development. Generally, we believe we have broad and early filed patents related to laser beam scanning. And we would take appropriate action as needed to defend our IP. As we have stated our IP does go beyond patents. We have know-how and methods that we believe give our products a performance advantage and a competitive advantage. It might make sense here to reiterate what I said earlier there are three IP related licenses that we've granted. The first is to our April 2017 customer. The second is for display only it does not include augmented reality or near-eye applications. And the third is a Taiwanese ODM, which expires in 2022. Sometimes we get questions about the STMicro comarketing agreement. That agreement is about promoting each other's products and that does not include a technology license. Going to the next question, there are several questions about STMicro and LaSAR, the LaSAR Alliance. First, how is MicroVision’s relationship with ST. And second, can you comment on MicroVision’s participation in MSR, Sumit maybe you could take this one?
Sumit Sharma: Good question. In general, I would say ST and MicroVision are we continue to have a very close relationship. That's without a doubt, as was evident in the public comments that were made during - one of the recent presentations. They've been our MEMS our wafer partner for several generations of our products. And in the past, we had our analog ASIC with them, which is now obsolete. We work with them collaboratively, but as a fab partner, and both parties are very good in maintaining boundaries on our IP. Additionally, we sell components - we sell components to our customers. ST is not able to sell our components. The MEMS and ASIC that we designed to the market directly that's, actually very important point to remember. And as you know, from their public presentations, I think this was recent it was brought to my attention. We enjoy a very close partnership with them. They understand the value that MicroVision has created and they've been great supporters. The LaSAR Alliance appears to be - to me at least one of the group of us that looked at it. A group of companies dedicated to advancing AR development. Companies have their areas of expertise like lasers and MEMS and waveguides and algorithm, ASIC, et cetera. But they're individual companies part of the alliance that could be a one stop shop for anybody to do development. MicroVision has these fundamental pieces integrated into our LBS technology already at a very mature level. So we develop everything required in-house. This has allowed us to be one stop shop in the LBS microdisplay engine for a long time. And I think another way to just really keep in mind is like this does not really make sense for us to be part of alliance. As we have the pieces and we already have solutions ready for OEMs. And secondly, we're focused on strategic alternatives not on business development. So, it didn't really make sense for us to be part of that.
Steve Holt: Next question is, can you please comment on the number of newly authorized shares you have used so far? And can you talk about burn rate and cash status and the use of Lincoln Park? Okay, so on October 8th, 60 million shares were authorized. So far we have issued about 2.5 million in raising funds through the Lincoln Park facility. Some of you may have seen an S-8 filed on October 9th and let me explain that. In May, the shareholders approved that 5 million shares could be added to the employee stock incentive plan. However, because the increase in authorized shares did not pass until October 8th, we did not have the shares to actually put in the plan. And the 5 million shares filed on the S-8 on October 9th, just increase the pool that could be granted to employees. Those shares have not been granted to anyone. They are intended to be granted to new hires and as long-term incentives to existing employees, over future periods in the form of stock options or RSUs or PRSUs performance RSUs. I'll mention again, while we're on the subject of stock. I did mention in my prepared remarks that in Q2, we sought to incentivize employees to stay as we explored strategic options. And we granted employees restricted stock units. That vest at the earlier of the closing of a strategic transaction or one year. Section 16 Officers of the company were not included in that incentive it’s for employees only. And I guess I should add that the share is used for that incentive, which was about 1.2 million were not part of the 60 million shares that were authorised in October. As part of that question about cash in Lincoln Park I said earlier, that $5 million at the end of the third quarter is what we had on hand and we raised another $5.8 million on Lincoln Park in Q4. And we believe that that gets a sufficient cash to get through Q1 of next year. And there's about $200,000 remaining on the Lincoln Park facility. Anything on that question? I think so. Okay, next question. We've had a few questions regarding state of augmented and mixed reality markets and why you think MicroVision's technology is relevant. Could you provide any additional color to your prepared remarks?
Sumit Sharma: I'll take that. So first, let me give some context. I think I started this last time and I want to elaborate a little more. Let's distinguish between augmented reality and mixed reality for a second. Augmented reality products or AR products, try to superimpose information in user head mounted hardware. Google alert is a example of AR, among other products. Application - look at what information user needs, position of their pupil, et cetera, and determines how best to present information. The micro display engine and sensors to this headset are usually used to enhance user experience and delivery of information. Focus more on the user directly. The product needs to be light in weight, low power, provide a wide field of view, rich color, able to adjust brightness based on indoor and outdoor conditions. Mixed reality is other hand, those products take everything I listed for AR and add additional outward looking sensors, lots of computing and software and can basically overlay other things on top of reality that you see to them. You know, modified adapted images, video of these obviously, you can see how lands magically been other showcase experience they create or they want to create. I would also like to note that recently, the game brought it up OEMs like Apple are starting to show MR applications running on phones and tablets. And this is kind of a very interesting way to think about what this opportunity is. This is a form of mixed reality as well. And mixed reality can be created with VR headsets as well. There are so many ways to provide an experience and it just depends on what problem for the user needs to be solved. For example, if you want to help a jet engine technician repair an engine with a see-through image that overlaps what the technician is seeing in front of them, see-through waveguide, that would be a better implementation, whereas VR and mixed reality could have other applications where that makes more sense. So really depends on what problem you're solving and what you're trying to monetize. Top tier OEMs are starting to show AR applications, personally, I think, across other hardware platform, it's a great validation that AR is important. This is exciting because they are solving user problems and thinking about monetization. Also, this will create an opportunity for AR hardware ecosystem to expense. In my personal experience, AR and MR experiences are significantly more engaging for users in head monitored hardware. And that's not just a bias because I've been on the floor of CES with our devices more than a decade ago. And I know that the reaction that you get, you know, it's a genuine, so personal marketers I would say I've done on this one for many, many, many years. Now to answer the main question. So MicroVision technology, as I described it, as you saw in the August video that we put up, the module is the MEMS, the lasers, the electronics, everything combined. So MicroVision technology represents the micro-display engine for use in see-through optics required in AR and MR. So that micro-display branches across all the different experience we talked about in the head-mounted space. We will be the main display engine that brings information to the eyes. So that's a very important thing. Yes, in front of the eye, you have the waveguide. But everything behind that, that's what's called an engine, everything happens inside this one engine, all the things that you would create for that experience make it light, low power, big fields of view, it's this engine by itself. In the future we could have - in the future, MicroVision could have developed more advanced features like people tracking, backup support for aviation, integrated into our microdisplay module. This level of integration, administration integration would produce engines that are small in size, low power, low computing, among other key features that experience requires. So the technology is not just plateaued, you know, we have other opportunities to multi-generational products we develop. And this is what I meant earlier when I spoke about multi-generational possibilities for technology and the value of presents. So anybody looking at that vertical, our job is to show them all the things that will be made possible with it. And it's not just the engine that may be in front of them, but it's all the way out to all the different products that we possible. So I think if you put that in context, you know, AR, MR, I think we have great IP, very strong IP, great validation that we can create the kind of experiences beyond what even OEMs were visualizing their users would expect at price points that are very competitive for the kind of problems we're solving. So therefore, there is huge amounts of value in the AR vertical in my belief.
Steve Holt: That concludes the question-and-answers for today. I will now turn - there is one more question sorry. There's a question about the state of the development of MicroVision, automotive LiDAR samples, and how the availability of samples could be part of a strategic transaction?
Sumit Sharma: So earlier I mentioned the key features in our LiDAR and sustainable strategic advantage they have. We will be able to very quickly advance the conversation from mechanical scanners to solid state sensors. Not in R&D but vary for product level. And that's not an easy thing to say for anybody, you know, most people that are looking at technology right now to them, that's a long tail. We had such a long history with LBS and all the key parts of it, I can say with quite a high confidence that we will be able to completely change the conversations. That's actually one of the key things to remember for contests. To show how disruptive our LiDAR technology would be, we need to demonstrate it in a piece of hardware and not just theory. And that, I can just tell you from personal experience, cannot actually -- even though you completely trust the team you're talking about, you really have to see the hardware to really understand all the complexity of the problems that have been solved, not just the theoretical version of it. After all, the value of a business is its capability to scale products and generate revenue for potential interested parties. So that -- showing that piece of hardware is actually very important. By completing the hardware demonstrator, we would show to the market and interested parties how it will be a technology based LiDAR meets the goals of the market, which is projected for huge growth. After all, the value of businesses is capable to hit scale products and generate revenue for potential extra parties. So that's showing the piece of hardware is actually very important. By completing the hardware demonstrator, we would show to the market and interested parties. How it will be a technology based LiDAR meets the goals of the market, which is projected for huge growth. Additionally, having the design demonstrate the capability in terms of economics and reliability with the past of being able to generate revenue for an interested parties further reduces the risk, a transaction would be easier if acquirer can see the ability to generate revenue quickly. I think one more point, I think - the respect we have for augmented reality, interactive display and consumer LiDAR is because we have hardware that demonstrates the capability of the technology. Automotive LiDAR is an important market that is quickly developing. Our hardware demonstrator for 2021 showcases the value of the company and how this vertical leverages our core common ID. So that's why it's actually important to have a piece of hardware that demonstrates the - all the features that are required for automotive LiDAR partners to see that a transition from mechanical to MEMS scanning, our first generation MEMS scanning is - round possibility and that represents to our shareholders.
Operator: That was last question, and that does conclude the question-and-answer for today. I'll turn the call over to Sumit for some closing remarks.
Sumit Sharma: I want to thank all our employees of course that are working extremely hard for the objectives that are in front of us. And also, I want to thank all our shareholders for their continued support. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.